Operator: Hello and thank you for standing by. My name is Regina and I will be your conference operator today. At this time, I would like to welcome everyone to the Black Stone Minerals Fourth Quarter and Full Year 2024 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Mark Meaux, Director of Finance. Please go ahead.
Mark Meaux: Thank you. Good morning to everyone. Thank you for joining us either by phone or online for Black Stone Minerals' fourth quarter and full year 2024 earnings conference call. Today's call is being recorded and will be available on our website along with the earnings release which was issued last night. Before we start, I'd like to advise you that we will be making forward-looking statements during this call about our plans, expectations, and assumptions regarding our future performance. These statements involve risks that may cause our actual results to differ materially from the results expressed or implied in our forward-looking statements. For a discussion of these risks, you should refer to the cautionary information about forward-looking statements in our press release from yesterday and the Risk Factors section of our 2024 10-K. We may refer to certain non-GAAP financial measures that we believe are useful in evaluating our performance. Reconciliation of these measures to the most directly comparable GAAP measure and other information about these non-GAAP metrics are described in our earnings press release from yesterday, which can be found on our website at www.blackstoneminerals.com. Joining me on the call from the company are Tom Carter, Chairman, CEO, and President; Taylor DeWalch, Senior Vice President, Chief Financial Officer and Treasurer; Carrie Clark, Senior Vice President, Chief Commercial Officer; Steve Putman, Senior Vice President and General Counsel; and Fowler Carter, Senior Vice President, Corporate Development. I'll now turn the call over to Tom.
Thomas Carter: Good morning to everyone on the call and thank you for joining us today to discuss our fourth quarter and full year 2024 results, beginning -- before getting into those details, I want to congratulate Fowler Carter on his recent promotion to SVP of Corporate Development where he will continue to lead our acquisition program and work with Paul of the team on our ongoing long-term initiatives. 2024 can be described in two halves. We started the year with additive oil production and revenue from our strong oil assets, but weak natural gas pricing hindered production in the second half of the year. Despite the natural gas headwinds, our robust portfolio of both oil and gas assets enabled us to remain within our production guidance and hold our distributions at $0.375 for the fourth quarter. We're encouraged by the stronger natural gas pricing fundamentals, which, coupled with our attractive oil assets put Blackstone in a solid position for 2025. In addition, we continue to focus on our targeted acquisition strategy, which further builds on our long runway of high interest development opportunities. On the acquisition front, we had another $43 million in minerals and royalty acquisitions during the quarter, bringing our total acquisitions since September 2023 to around $130 million. In 2025, we're confident that we will continue to identify and execute on accretive opportunities, which enhance our existing asset position, increased development opportunities, and ultimately, add long-term value to the shareholders. Overall, it was a solid quarter and a solid year despite a volatile pricing environment. We're pleased to hold our distribution flat during the year with excess coverage. Our clean balance sheet and ample liquidity position enable us to continue to execute on our commercial strategy, including targeted grassroot acquisitions and working with operators to achieve full field development across our assets. Constructive natural gas outlook buoyed by growth in LNG demand and robust oil production from multiple basins provides a solid outlook for 2025 and long profitable runway for the company to ultimately drive strong long-term shareholder returns. With that, I'll turn over to Taylor to walk through the financial details of the quarter.
Taylor DeWalch: Thank you, Tom and good morning everyone. As Tom pointed out, we had a solid quarter despite continued commodity price volatility. Mineral and royalty production was 34,800 BOE per day in the fourth quarter and total production volumes were 36,100 BOE per day, both of which are down from last quarter. For 2024, mineral and royalty production was 36,600 BOE per day, while total production volumes averaged 38,500 BOE per day. Net income was $46.3 million for the fourth quarter with adjusted EBITDA being $90.1 million. 59% of oil and gas revenue in the quarter came from oil and condensate production. For the full year 2024, net income was $271.3 million with adjusted EBITDA totaling $380.9 million. We maintained our distribution at $0.375 per unit for the quarter or $1.50 on an annualized basis. Distributable cash flow for the quarter was $81.9 million, which represents 1.03 times coverage for the quarter. In conjunction with the earnings release, we released our 2025 guidance yesterday. As we look forward to the full year 2025, we expect an increase in production from 2024 levels. In addition to activity across our broad acreage position, this production increase is driven by our unique high interest development activity we highlighted in our press release last night. In East Texas, we continue to work with multiple operators to promote development on our Shelby Trough acreage. Currently, EXCO is operating one rig and Aethon is operating three rigs on the company's acreage. Aethon has already turned-to-sales 11 gross wells in 2025 with another 17 expected for the remainder of the year. In addition, the accelerated development agreements in the Louisiana Haynesville is well underway, with first production on two high interest wells during the fourth quarter of 2024 and another 11 gross wells expected to begin producing during 2025. Under these agreements, the operators will provide near-term certainty and accelerating development on BSM's high interest areas in exchange for a slightly reduced royalty burden. In our Permian position, we are tracking activity across our acreage, including a large development in Culberson County. This development includes 37 gross wells on Black Stone's acreage. Currently, 13 wells have been spud, and we expect eight of the 37 wells to first production in 2025. These developments across different basins represent unique high interest assets within our portfolio and further demonstrate our strong diverse asset base covering growth opportunities in both oil and gas plays. We expect lease bonus, operating expense, and production costs for 2025 to be in line with 2024. G&A is expected to increase slightly in 2025 as a result of hiring and promotions during the last year as well as some additional hiring expected in 2025. Again, we had a solid quarter and year despite volatility in natural gas prices. With a strong start to 2025, we are confident in our long-term strategy and our ability to generate long-term value for our shareholders. With that, I'd like to open up the call for questions.
Operator: [Operator Instructions] We'll take our first question from the line of John Annis with Texas Capital. Please go ahead.
John Annis: Hey good morning guys and thanks for taking my questions. For my first one, I wanted to focus in on the acquisitions you made in Q4. Understanding you guys may prefer not to disclose specific locations at this time. Could you help frame whether recent acquisitions continue to be focused on the Gulf Coast region and whether it's oil and gas? And then perhaps more broadly, would you characterize -- or how would you characterize the current bid/ask spread for mineral opportunities for both oil and gas?
Thomas Carter: This is Tom. I'll take a shot at that. Our acquisition program is generally focused in the Gulf Coast region around expanding our relatively large Shelby Trough footprint, where we have had from many prior acquisitions, a very solid footprint. And in the natural gas environment, LNG growth opportunity sets that we see in the future, we are conservatively growing this footprint in that area to take advantage of long term -- add to our long-term inventory. And I don't remember the second half of the question, if you could repeat that. We're not actively looking at acquisitions in other basins at this time.
John Annis: Got it. That makes sense. For my follow-up, shifting over to the accelerated drilling agreements entered into during 2024 in the Louisiana Haynesville. How should we think about the duration of these agreements? Are they multiyear type agreements? And then with the constructive outlook for natural gas, especially the call on growth from the Haynesville, how does that backdrop impact your calculus of executing additional ADAs? I guess another way of asking it, do you let activity naturally accelerate across your position while retaining a higher royalty? Or does the certainty of activity that ADAs bring still remain attractive?
Carrie Clark: Hi, this is Carrie. So, on the ADA, they are not generally this multiyear like the contract that joint exploration agreement we have with Aethon, these are much more targeted opportunities that we've gone out and identified both based on how much opportunity is there from a -- first, an interest perspective as far as where we might have interest already concentrated in a smaller area. And then, of course, the resource and the location of it. So, in the aggregate, these accelerated agreements add up quite a bit, but they are typically much more limited than a contract like the multiyear joint exploration agreement. And then I think I answered question two in that response, but just to be clear, we do -- we are intentional in seeking out those opportunities to try to -- we call them accelerated. It's accelerated development that it's really goes to the point of our whole strategy, one of the tenets of our strategy to try to maintain some more predictability on the production side and consistency on volumes since we can't do anything about commodity price. And as a mineral owner since we're not the one out there drilling the wells, that's how -- this is one of the tools that we have to influence the activity without being in charge of actually drilling wells.
Taylor DeWalch: One follow-up. This is Taylor DeWalch. One follow-up, John, I'd just say while the agreement that we've entered into thus far are certainly targeted as Carrie mentioned, we do still see other opportunities to potentially continue this type of a program into additional years. So, there are additional opportunities that we continue with that.
John Annis: Thanks guys.
Operator: [Operator Instructions] And our next question will come from the line of Tim Rezvan with KeyBanc Capital Markets. Please go ahead.
Tim Rezvan: Good morning folks and thanks for taking my questions. As a start, I just wanted to say that we appreciate the operational detail in the release with a helpful sort of update. As we think about this increasing line of sight and activity in the Haynesville, do you think that the activity like now as in first half of 2025 is reflecting this increase? Or do you think this will be more of a back half in 2026 impact? Just trying to understand what the long cycle-times because this increase seems to be setting up for a pretty good kind of multiyear period of growth. Just curious if you can have any kind of context on when this would be reflected? And should we get a little more constructive on 2026 from this news?
Thomas Carter: Tim, this is Tom. I'll take a shot at that and maybe give you a little more information than normal. In our Haynesville area, especially in the Shelby Trough, we are hopeful for a very long cycle of modest to better than modest annual growth in activity in and around our properties. Specifically, the acquisition area that we're working on encompasses in excess of 450,000 acres in various counties in East Texas, and there's -- Aethon is the most active in that area, but they only control about 40% of the acreage in that area. And we are moving towards owning minerals and/or leases in that area totaling almost half of the total acreage in the area. And we see a very long runway with very large amounts of additional activity out there for many years to come with -- and we are also trying to meaningfully expand our operator subset out there to have multiple operators operating in that area. Of course, all of this is considered, it's no surprise to anybody. It's considerably natural gas price sensitive and natural gas prices have been hard to predict forever. We feel like the current environment is as not completely predictable, but certainly relatively predictable. And so we're optimistic that there's a fair amount of growth to come out here from expanding the areas that are being developed and expanding the number of operators.
Tim Rezvan: Okay, that's helpful context. Thanks. I appreciate that. And then in your prepared comments, you mentioned $43 million of that $110 million was spent in the fourth quarter on acquisitions. I understand you don't want to show your cards too much on the outlook. But can you provide some context on kind of what is still out there in terms of the opportunity set? And then just trying to think like how comfortable you would be putting debt on the balance sheet. It looks like you could theoretically make another $300 million of acquisitions and be less than 1 times levered. So, what's your kind of inclination to buy more? And what's available? Any comments on that would be helpful. Thank you.
Thomas Carter: Well, there is significant additional identified inventory available to be purchased. There's as much left to go as has been acquired previously, if not more and we are taking a conservative, but studied to look at. We do not want to -- I doubt that you would see us becoming $300 million or $400 million levered, but there are many different avenues that we could take to further expand our position out there. But we're going at it conservatively trying to watch and monitor what's going on in the natural gas market. And that's going to have as much to say about how long and fast we go after this as anything else.
Tim Rezvan: Okay. Thanks for the context.
Operator: And that will conclude our question-and-answer session. I'll hand the call back over to Tom Carter for any closing comments.
Thomas Carter: Okay. Well, thanks very much for your interest and questions today and joining the call. And we look forward to chatting with you further in the future.
Operator: This will conclude our call today. Thank you all for joining. You may now disconnect.